Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2008 Stoneridge Earnings Conference Call. My name is Erica and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Ken Kure. You may proceed, sir.
Kenneth A. Kure: Good morning, everyone, and thank you for joining us on today's call. By now you should have received our fourth quarter earnings release. The release has been filed with the SEC and has been posted at our website at www.stoneridge.com. Joining me on today's call are John Corey, our President and Chief Executive Officer, and George Strickler, our Executive Vice President and Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ maybe found in our 10-K filed with the Securities and Exchange Commission under the heading forward-looking statements. During today's call, we will also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. John will begin the call with an update to our results and his thoughts on the market conditions. George will discuss the financial details for the quarter and future outlook. After John and George have finished their formal remarks, we will then open up the call to questions. With that, I'd turn the call over to John.
John C. Corey: Good morning. Before I begin to share with you the operating results of the company and the positive steps we are taking to address the uncertainty in our markets, I want to briefly explain the non-reoccurring after-tax non-cash goodwill impairment expense and the non-cash deferred tax asset valuation allowance that are included in our fourth quarter and year-end results. The 2008 results included an after-tax, non-cash goodwill impairment charge in the company's control device segment of 46.1 or $1.97 per share, and recorded an after-tax non-cash valuation allowance against the deferred tax assets of 62 million or 2.65 per share. Excluding these non-reoccurring items and the restructuring charges full year income from continuing operations was 22.8 million or $0.98 per share compared with 17.6 million or $0.75 cents per share from last year. George will provide more detail about the goodwill impairment charge and the valuation allowance for deferred taxes later. But it's important to note that these non-cash charges do not impact the company's ongoing business operations. Since our last conference call, the global transportation industry continues in turmoil. Our focus has been to manage the areas we can control and maintain flexibility to respond to the dynamic market in which we are operating. We are responding to the quick and the volatile market conditions by focusing on six key areas; market conditions and our response, restructuring programs executed and completed in 2008, additional cost measures taken in 2008, further cost reduction initiatives being worked on for 2009, ensuring liquidity and financial strength of the company and finally short term sales growth opportunities. We have all read about the shifts in U.S. light vehicle in North American and European commercial vehicle markets as the global recession expands and capital availability is largely non existent. In North America passenger cars and light truck production declined 24% during the fourth quarter. European commercial vehicle volumes also declined with fourth quarter volume dropping 14% from the prior year, while the North America commercial vehicle market did not recover as was expected at the beginning of the year. The economic downturn has now spread to the emerging markets China, India and Brazil. Given that the global decline, the questions are how are we responding and what confidence can you have in Stoneridge's management team regarding our future. We can only look to the actions we have taken and how we have adjusted is an indicator of how we will adapt to this challenging market. In late 2007, we announced restructuring initiatives to eliminate manufacturing on our Sarasota, Florida and Mitcheldean, UK facilities These initiatives were targeted to adjust our cost structure and eliminate overhead centers to enhance profitability and robust economic times and protect profitability when market adversity occurs. Through 2008 and concluding in the fourth quarter we have been methodically executing on these two initiatives with urgency and diligence. Both of these initiatives were completed ahead of schedule and within budget. We incurred restructuring cost in 2008 of 13.8 million with anticipated benefits of 12.8 million in 2009, with the closing of these two facilities. As conditions deteriorated in the second half of 2009, we took additional measures to ensure that Stoneridge would be positioned to adjust to the new economic realities. Additional changes were made when we consolidated two Canton, Massachusetts facilities into one location and outsourced our stamping operation in Canton which was not core to our business. These actions reduced employment and lowered overhead costs. This resulted in a reduction of our headcount on our Canton facility by 17% of the workforce. Combined with our Sarasota, Florida and Mitcheldean, UK restructuring our overall headcount reduction for these initiatives was 20% in 2008. In Europe, where the commercial vehicle market declined more rapidly and significantly than originally forecasted, we reduced employment by 12% of our Tallinn, Estonia and Orebro, Sweden facilities in response to the volume decline in the fourth quarter of 2008. We continue to see difficult market conditions and are undertaking further actions in 2009 to address the market decline. We are consolidating our Juarez, Mexico facility from three business units into one management team. We have also initiated improvements in our lean processes to improve effectiveness and efficiency of our manufacturing operations. These actions have a cost ranging from $500,000 to $800,000 and an annual savings of approximately $2 billion. This initiative is underway and is targeted to be completed by August with an estimated benefit for 2009 of between $800,000 and $900,000. In another Mexican facility, we will reduce employment by approximately 150 people from a combination of lower volume and lean operating initiatives. We are estimating we will complete this by June of this year. Combining all our restructuring and lean initiatives, we have reduced overall Stoneridge employment levels by 14.5% from January 2008 until June 2009. At the same time, we are driving cost reductions, we continue to focus on liquidity and balance sheet strength. We have continued to strengthen our balance sheet by generating positive cash flow, managing working capital and reducing our capital expenditures. Our debt balance is the lowest -- is at the lowest year-end levels in 10 years. We have improved our accounts receivable balances and have the lowest level of aged receivables in nearly five years. In spite of the volume declines in bank bill for production transfers, we reduced our inventory slightly by 2.6 million to 54.8 million. We have 38 days of inventory, which is above our targeted level of 28 to 31 days. For those companies who have manufacturing, engineering, and financial capabilities there maybe opportunities to capture business in the near term. We continue to focus on our near term revenue opportunities to diversify our customer base and realign our product portfolio. Part of the diversification initiative is into investment technologies where we believe we show the most promise for growth such as emissions, power distribution and magnetic sensing, chemical sensing, tachographs and alarm and tracking systems. We continue to monitor business conditions and will take the necessary steps to ensure Stoneridge's position for the current economic environment. Before I make a few comments regarding 2009, let's review our fourth quarter performance. Net sales for the fourth quarter decreased by 27.5 million or 14.8% to 158 million. This sales decrease was the result of a 24% decrease in the production at traditional domestic light vehicle manufacturers based on weaker consumer demand, lack of credit availability, and a reduction in fleet sales. European commercial vehicle production declined by 14% compared to the fourth quarter of 2007. In addition, the strengthening of the U.S. dollar in the fourth quarter negatively impacted sales by approximately 15 million. Our after-market business was relatively flat as the team was able to offset market weakness with additional business. Our strategy of focusing on cornerstone customers has begun to yield results. Offsetting some of the sales decline was the result of a design and development and billed responsiveness, which allowed us to win additional military business sales in North America. Finally our agricultural business improved by approximately 6.1 million or 31%. New business award to the fourth quarter including wins at our cornerstone customers and new Asian OE (ph) customers Hino and Caterpillar, Japan. These wins represent continued progress with our key customers in support of our geographic diversification initiatives. Finally our new business awards, both new and replacement business totaled approximately 259 million for the full year 2008. During this downturn we will continue to focus on design and development efforts to support the near and long-term growth opportunities. We intend to maintain our annual development spend over the planning horizon between 5.5 and 5.8% of net sales. However, in 2009 we have elected to reduce this spend in response to market reductions. We've been refocusing design and development spending on innovative and new technologies that offer the ability to cross-sell to multiple customers and multiple applications. The examples in our Control Device segment include magnetic torque sensing, cylinder position sensing, drive line actuators, non-context sensing, chemical sensing, emissions gas and temperature sensing. Examples in our Electronics segment include integrated module systems, selling the next generation of tackro (ph) gas in Europe and alignment tracking systems in Brazil. However, given the state of the markets customers are changing their development needs and we must adjust accordingly. Our gross margin for the fourth quarter excluding restructuring cost was 20% compared to 26% in the fourth quarter of last year. The gross margin reduction is primarily a result of the decreased volume in our passenger car and light truck segments and our commercial vehicle segments and foreign exchange translational impacts. Our gross margin was also negatively affected by approximately $1.9 million in the restructuring charges and about $700,000 in lost overhead recoveries due to lower volumes which were result of restructuring inventories built in the first half of 2008. We continue to manage our raw material cost, the volume reductions impact our purchase pricing. Unlike most automotive suppliers, we do not have significant exposure to purchases of steel. Our primary purchase commodities are coppers and nickel. Our major purchases for components are plastic molded parts, connectors, electronics and printed circuit board assemblies. In electronic components, we have established global sourcing which has continued to benefit us with annual reductions based on volume benefits we can offer to a few key suppliers although with the volumes we are now experiencing it will be difficult to obtain additional benefits in the short term. In these turbulent times, we have established a program where our purchasing function monitors the financial viability of our vendors and an effort to mitigate sourcing disruptions while minimizing risk. Operationally, we continue to show improvement for the year, improvement. For the year, our cost to poor quality which represents waste, scrap and premium freight improved by $3.3 million, compared to last year on a similar sales basis. We also continued our efforts to reduce our manufacturing overhead structures and establish a flexible and efficient global manufacturing footprint. Our operating loss excluding the impairment charge for goodwill for the fourth quarter of 2008 was $3.9 million, compared with operating income of $12.9 million in the fourth quarter of last year. Our fourth quarter 2008 results were negatively affected by $4.4 million in restructuring charges and approximately $700,000 in lost overhead recoveries due to lower volumes which was the result of restructuring inventories built in the first half of 2008. Excluding the impairment and restructuring, we would have generated a slight profit in fourth quarter. Out joint venture in Brazil reported another good quarter, but experienced a drop in volume in November and December. Local currency revenues increased 9.1% in the quarter, but were down 11% from the third quarter of this year. Our proportion of equity earnings decreased from $2.8 million in 2007 to $2.2 million in the fourth quarter of this year, a decrease of $600,000 or approximately 21%. Part of the decrease is attributed to the Brazilian real which has depreciated approximately 16.2%, against the U.S. dollar compared to the fourth quarter of 2007 and 26.7% for the third quarter of 2008. The decrease is also partially due to increased selling and marketing expenses in the fourth quarter of 2008 compared to 2007. Well the continued growth in our tracking system which was launched earlier in 2008. PST continues to perform -- report positive results for this aftermarket business, particularly in the security products area and in new business with OEMs in Brazil. Brazilian economy has weakened and we expect a short term performance of PST volume declines will be offset impart by new production and customers. PST has designed and developed and introduced a new radio application for OE manufacturers and the aftermarket, thus capitalizing our strong Positron brand recognition. As currently proposed in the past, new legislation will require all new vehicles to have a tracking device installed in phases over the next two years. During the fourth quarter, PST received awards for tracking devices from five motorcycle manufacturers in anticipation of legislation. PST declared and paid $4.2 million of dividends in the fourth quarter of 2008 to Stoneridge. Finally, our diluted earnings per share excluding goodwill impairment expense in the deferred tax asset valuation allowance was a loss of $0.01 in the fourth quarter which included approximately $0.14 per share for the restructuring expenses. This compared to income of $0.28 per share in the prior year which as you recall was a very strong quarter for us. Earnings from the fourth quarter would have been $0.13 per share excluding restructuring charges. While loss per share for the year ended December 31, 2008 was $4.17 per diluted share which included $0.53 per share in restructuring charges and $4.62 of non-recurring items. Earnings per share excluding the restructuring and non-recurring items for the year ended December 31, 2008 was $0.98, compared to $0.75 for the year ended December 31, 2007, an increase of $0.23 or 30.7%. Going forward, we face a challenging environment globally given the almost weekly adjustments to the build plans from our OE customers. Forecasting for all aspects of our businesses has become more difficult. For the first quarter of 2009, the traditional domestic light vehicle OEMs are forecasted to be down approximately 40% versus the first quarter of 2008 and we have seen January production in this range. The North American commercial vehicle market appears to be tracking downward as well with projected reductions of 25% compared to the first quarter of 2008. European commercial vehicles markets are projected to be down 40% in the first quarter of 2008, versus for 2008. So with these market declines, what is our plan? We're simply working on the aspects of our business which under control in the short term and adjusting our market strategies longer term to reflect the new realities. As we discussed earlier, we are managing cost structures by adjusting our direct labor and variable overhead cost to match reduced production levels. This may mean additional plant restructuring. We are adjusting plans to fewer work days or adjusting working shifts. For 2009, we have implemented a salary or wage freeze in North America unless there is a contractual obligation. We have implemented a higher increase with any additional head count being reviewed by -- personally by me. In addition, our 401 (k) plan has been amended to allow for a discretionary match only and again to our plans are being redesigned to be profit sharing plans with profit based metrics. We will not have any payouts in 2009 under the gain sharing program unless the company exceeds the operating income target. We expect these savings from these programs to be in the range of approximately $4 million this year. As highlighted before, we have a program underway in our Juarez, Mexico facility to consolidate three business unit overhead centers into one plant team. The initiative of this is to be completed by August of this year. We estimate the cost to be approximately $500,000 to $800,000 with an annual savings of approximately $2 million in 2000 -- annual savings of approximately $2 million. We are also reviewing plant capacity in Europe to determine what additional steps may need to be taken based on the market outlook. The environment for 2009 will most likely be the most challenged the company has ever experienced. The same is true for the entire industry given the interdependence of the supply chain to the OEMs. Though we have positioned Stoneridge to whether the storm as we see it now, we believe there is still abundant risk given state of the industry as a whole. Though we are deciding not to issue earnings guidance at this time, we are indicating that Stoneridge should be both earnings and cash flow positive based on our plant sales in 2009 using the December 2008 forecast. The first half is expected to experience a more severe downturn than the second half. While we are not satisfied with results for the quarter and the year, especially after our excellent results in the first half, our team has performed well executing the large restructuring initiatives in UK and Sarasota, Florida as well as further realigning our cost structure to the most recent market conditions. However, we are not pursuing cost reductions alone. We have also implemented near term revenue programs to focus resources in obtaining additional revenues; amid the turmoil of the industry, there maybe opportunities for us to support customers by taking over for a troubled supplier or buying assets from a financially distressed supplier and shifting the business to us. We will look at opportunities to acquire assets from companies and liquidations as well as companies looking to divest product lines. In times like we are facing, our management team recognizes that we need to increase our involvement of all level of the business. We needed to increase our communication and to our employees. We are engaging our customers for additional opportunities. We are also maintaining our emphasis on cash generation. I can't tell you when the recovery will come, but I can tell you that we are doing or what we think is necessary to come through this period of trial and continue on our path of improving operations, improving financial performance and increasing market penetration that will prepare us while positioning the company for eventual recovery. With that I'd like to turn the call over to George.
George E. Strickler: Thank you John. Before we review the financial highlights for the fourth quarter and the outlook for 2009, I want to discuss the non-recurring, non-cash goodwill impairments and valuation allowance for deferred taxes that was recorded in the fourth quarter. The non-recurring, non-cash goodwill impairment was driven by adverse equity market conditions that caused a decrease in the current market multiples, the company's stock prices of December 31, 2008. The benchmark that has been established by the SEC from their common letters and releases in December 2008, measures the fair value derived by traditional valuation techniques of discounted cash flows and market multiples compared to a mark-to-market concept for market capitalization based on a point in time which was December 31, 2008. December 21, Stoneridge's stock price was at a very depressed state due to the overall conditions of the market resulting in a low point of Stoneridge stock price for the year. We do not believe the mark-to-market concept powerfully reflects the true value of the company and our outlook for the financial and operating performance of the company. In the case of the valuation allowance for the deferred tax asset, the valuation allowance is due to the impact of the goodwill impairment. It caused the company to be in a cumulative loss carry forward position. Recording the valuation allowances for financial statement purposes only will not impact the company's ability to utilize for tax purposes, net operational losses and tax credits in the future that its operating results permit. These non-cash charges do not impact the company's ongoing business operations. Now I would like to share a few financial highlights. The restructuring programs announced in November 2007 were completed on time and within plan. The cost of the Mitcheldean, UK and Sarasota facility manufacturing closures were $13.8 million. The annual benefit from these two initiatives is expected to be 12.8 million in 2009 and beyond. We've taken additional measures to reduce our cost structure in response to further deterioration in the market. We have consolidated our two facilities in Canton, Massachusetts into one. We outsourced our stamping operations that was not core to our manufacturing strategy was completed by December 31st of this year. We have reduced our headcount in our Tallinn, Estonia and Orebro, Sweden facilities; reflect the downturn of our commercial market in Europe. We're taking further actions this year to improve the effectiveness of our manufacturing facilities in Mexico. These programs will be complete by August 2009. In total we have absorbed restructuring costs of 15.4 million in 2008 or $0.53 per share. We will incur an additional charge of $500,000 to $800,000 for the Juarez initiative in the first quarter of 2009, which will benefit the company by $2 million on an annual basis. This initiative we expect to be completed by August 2009 and will reduce our headcount by 150 people with an estimated net savings of 800,000 to 900,000 in 2009. We have started lean initiatives in one of our other wiring facilities in Mexico, which will reduce our headcount by nearly a 190 people. This initiative will improve our efficiency and reduce headcount to match the current market volume. We'll also free (ph) a force base providing opportunity for additional business. Through all our restructuring efforts in 2008 and 2009, we would have reduced headcount by nearly 900 people or 14.5%, January 2008 through August 2009. In addition to restructuring cost we'll reduce our design and development expenditures in 2009 to under $14 million, match our efforts with our customers product and platform launches. We are flexing our manufacturing shifts to match our production schedules. We are reducing our variable manufacturing overheads significantly more than our projected volume reductions. We've taken aggressive position for all compensation policies this year. We have frozen all salary and wage increases in North America, unless we have contractual agreements. We amended our 401(k) match program to a discretionary program. We have changed our gain sharing program to payout only if we exceed targeted profitability levels. Through all of these initiatives we have reduced our direct labor, fixed, and variable overhead D&D expenses and SG&A expenses by nearly $38 million from 2007 compared to 2009. Including the restructuring cost we incurred in 2008 of 15.4 million, we will experience a change to our operating costs structure of nearly $63 million from 2008 to 2009 cost reduction and the full impact of the restructuring costs incurred in 2008, compared to the benefits that will be realized in 2009. Our liquidity remains very strong. We had 92.7 million in cash at December 31, 2008. Our asset back revolving credit agreement of $100 million remains un-drawn and has no restricted performance covenants, the maturity at November 2011. Our 11.5% long-term bonds have long-term maturities until May 1, 2012. Capital expenditures have been thoroughly reviewed and they are reduced to $21.5 million for 2009. This has been reduced from our normal capital expenditure level of 28 to $30 million per year as our customers continued to adjust their future programs. We will continue to adjust our capital expenditures if our customers delay, defer or cancel projects. Our past two receivables have been reduced to the lowest level of nearly five years. We have less than a million dollars net past dues over 60 days. We are reviewing on a monthly basis our customers and supplier accounts to minimize our exposures and risks. We have reduced our risk to financially stressed companies and are working with those suppliers that may have financial problems. We have the lowest debt and net debt balance since 1998. We have strengthened our balance sheet to manage in the difficult market conditions and provide us the liquidity to address our cash burn rate, conditions persist for all of 2009 or longer. The uncertainty in the financial markets we have repositioned our North American European cash investments during the third quarter of 2008, trade returns and order minimized risks. Our positioning of cash has not changed through today. We will continue to evaluate our investment policy. I will now cover the fourth quarter results in more detail and then we will open the call for questions. Revenue of a 158 million in the fourth quarter represents a decrease of 22.7 million or 14.8%. The sales decrease was the result of 24% decrease in production volumes at the traditional domestic light vehicle manufactures, which was driven in part by dramatic shift away from light truck and SUV due to fuel prices since their restrictions on new consumer credit in general economic conditions. For the fourth quarter light vehicle revenue declined from 68.2 million to 45.5 million a decrease of 22.7 million or 33.3%. The decline was primarily attributable to the 28% decline in traditional domestic production price reductions in our control device segment. Medium and heavy duty truck sales totaled 84.8 million in the quarter, a decrease of 9.1 million or 9.7% over the prior year. Revenue decrease was driven by decline of 14.3%, European commercial vehicle production and unfavorable foreign currency exchange rates resulting in a $15 million sales reduction. Sales to agriculture and other markets totaled 25.6 million, an increase of 6.1 million or 31.3% above last year. Increase on our agricultural sales was predominantly due to strong billed rates of John Deere. North America revenue accounted for 77.7% share of the fourth quarter revenue compared to 70% for the same period last year. Percentage increase of our North America revenue reflects the growth of new business in our North America commercial markets. In the fourth quarter electronics revenues were 111.7 million compared to 120.2 million last year, decrease of 8.5 million or 7.1%. Positive factors in the quarter will continue strong revenue from our North America commercial vehicle operations, due in part to new government business and favorable factors affecting the fourth quarter performance were the 14.3% decrease European commercial vehicle production and unfavorable foreign (ph) currency translation. Revenues for control devices of 46.3 million declined from 65.3 million last year, a decrease of 19 million or 29.1%. 24.3% decline in production in North America light vehicles, the domestic manufacturing into actual price reductions, the primary reasons for the decline. Our fourth quarter gross profit was 29.8 million resulting in a gross margin of 18.8%. Our gross margin decreased to 8.7 basis points from the prior year level. This decrease was due primarily to reduced industry volumes and foreign exchange translation, relative to the prior year. Gross margin was also affected by restructuring cost of 1.9 million and lower overhead absorption of 700,000 caused by the production of inventory bills in the first half of the year sales aid (ph) production line moves. Sales from low cost manufacturing locations accounted for 39% of total sales for the fourth quarter, compared to 32% in the prior year. The increase is due to lowest turn rate (ph) North America sales in the current quarter. At our China operation had announced production line moves from our Mitcheldean, U.K. operation, both China and Estonia and our corporate wide (ph) initiatives, we expect our sales from low cost locations to grow as we relocate labor intensive manufacturing overtime. We will continue to expand our presence in the three low cost manufacturing locations, Mexico, Estonia and China. Our new facility in Estonia was completed and operational in November of 2008. Selling, general and administrative expenses totaled $31.7 million in the fourth quarter, compared to $34.6 million in the previous year. The decrease in SG&A is primarily due to increased design and development reimbursement activities related to new product launches in our European commercial vehicle units. The fourth quarter income-tax benefit totaled $6.2 million, excluding the impact of non-cash goodwill impairment charge and deferred tax valuation allowance, dissolving an overall tax benefit in the fourth quarter and effective tax rate of 26.8% for the year versus our previous estimate of 42%. The negative effective tax rate for the quarter was primarily attributable to the tax benefit of the fourth quarter loss, full-year benefit of the R&D credit in the combination of expiring statures of limitation, and closure of certain federal, state and foreign audits. We expect our 2009 effective tax rate to be between 28% and 32% excluding the impact of any change in the valuation allowance. Excluding charges for non-cash goodwill impairment and the valuation allowance for the deferred tax asset, Stoneridge recognized the fourth quarter net loss of 300,000 or a penny per share, which included approximately $0.14 per share of restructuring charges. This compared with prior year net income of $0.28 per share or a decrease of $0.15 excluding restructuring charges. Depreciation expense for the fourth quarter was $5.2 million and amortization expense totaled $300,000. For the full year, depreciation and amortization totaled $26.4 million. Earnings before interest, other income taxes depreciation and amortization were $1.6 million in the fourth quarter, compared to $19.5 million in the previous year a decrease of $17.9 million or 91.8%. Our working capital totaled $100.6 million at quarter end which decreased $9.7 million from the end of 2007. As a percentage of sales our working capital decreased from 15.2% of sales in the prior year to 13.4% of sales in the fourth quarter of this year. Primary, reason was the decrease was reduced accounts receivable and lower inventory from lower sales activity. While we have made progress towards improving our working capital levels, our working capital balances remain above our targeted range 12% to 13% of sales. We see opportunity to reduce our inventory balances from the current 38 days to the range of 28 to 31 days in inventory with improving operational efficiencies in 2009. We have made this a focus area for our operations as liquidity and cash flows are number one target. The Director of Lean Operations will be focusing on manufacturing efficiencies and supply chain management reports our global operations. Operating cash flow net of fixed asset additions was a use of $400,000 in the fourth quarter, compared to a source of $25.6 million in the previous year. Our cash flow results in the fourth quarter were affected by lower sales activity, generating lower cash flows, to reduced working capital and by lower net income. Our operating cash flow for the year was $42.5 million, an increase of $9 million over the prior year level of $33.5 million. Capital investment totaled $5.8 million in the fourth quarter, mainly reflecting investment in new products and building expansion project at our Lexington, Ohio facility was part of our previously discussed restructuring initiative. Our Lexington facility was originally contemplated to be a lease facility. Some significant areas of our capital investments were emission, sensor products and wiring business and our full year capital spending was approximately $24.6 million. We are projecting our capital spend to be $21.5 million in 2009. One of our most important measures for 2009 will be cash flow and liquidity. As of December 31, 2008, we had $57.7 million of availability under a $100 million asset-based lending facility. We have no borrowings drawn against our asset-based lending facility. Our quarter end cash balance totaled $92.7 million, compared with $95.9 million at the end of last year. Going forward, we expect we will continue to fund our operational growth initiatives, with our free cash flow generation and available cash balances. Now, I would like to take a moment to discuss our 2009 outlook. As mentioned by John, the environment for 2009 will most likely be the most challenging that company has ever experienced. The same is true for the entire industry given the interdependence of the supply chain to the OEMs. Though we have positioned Stoneridge to weather the storm as we see it now, we believe there is still abundant risk given the state of the industry as a whole. Though we are deciding not to issue earnings guidance at this time, we are indicating that Stoneridge should be both earnings and cash flow positive based on our plant sales in 2009. Based on our efforts of our restructuring programs, head count reductions adjusted 2009 compensation programs, flexing our production schedules and our reduction in design and development expenditures. We have quickly adjusted our 2009 cost structures to better match declining revenues. Based on the market forecast, we are experiencing December 2008; our goal is to maintain profitability and liquidity in these very difficult times by lowering our breakeven sales level for profitability and cash flow. 2008 did not play out as we had originally expected, we did not forecast the significant drops we are now experiencing in the light vehicle market in North America. The commercial market in both North America and Europe, and we do not expect the emerging markets of China, Brazil and India to experience such a rapid slowdown. We are expecting the medium and heavy truck market to improve slightly by the end of the third and fourth quarter this year. In summary, we developed, executed, implemented and continue to modify our plans to respond to the rapidly changing markets. We are lowering our cost structures to offset the volume reductions. We have plans to restructure our manufacturing overhead centers, streamline our organization to reduce our SG&A expense. We pursue near-term programs to grow the top-line. We have adjusted our compensation programs to contain cost. We have significantly reduced our head count. We have adjusted our work shifts and our plans to recent forecast. We continue to monitor the capital markets, so we are positioned to refinance our long-term borrowings when the capital markets are more recessive. As our markets have become more difficult, we continue to readjust our plans to address the short-term opportunities for sales growth while investing in the right technologies for the long-term growth and manage our cost structures and driving our cash flow to address the market challenges that we are all experiencing. Operator, I would now like to open the call for questions.
Operator: (Operator Instructions). And your first question comes from the line of Brett Hoselton from KeyBanc. You may proceed.
Brett Hoselton: Hi John, hi George, how are you guys?
George Strickler: Hi Brett.
John Corey: Doing very well, how are you?
Brett Hoselton: Doing well, congratulations on actually making a profit on an adjusted basis in the quarter. Not many suppliers are doing that these days.
John Corey: Thank you.
Brett Hoselton: I wanted to -- can you run through the liquidity again George, just cash and then available lines and so forth.
George Strickler: Our cash is 927 in fact it's improved slightly in the year, Brett and our liquidity, we have a $100 million open revolver right now with our current its asset based. So we have availability under that line of roughly about $58 million and that's got a maturity in November 2011. And our long term bonds are presently at $183 million. As you remember we paid down $17 million earlier in 2008 which impacted our cash balance also, but that line goes out through May of 2012.
Brett Hoselton: So, as of the end of the quarter you had $58 million available on a $100 million line, correct?
George Strickler: Right.
Brett Hoselton: Okay. The cash flow positive, is that operating or free cash flow being less CapEx?
George Strickler: Well there is the $43 million is operating cash flow and the capital would be net of that. And I think one thing that we have indicated today that we are managing capital very tightly, looking at our customer products and platform launches and so that will be flexible item as we move forward. But for the current year and 2008, our operating cash flow was 42.5 and our capital expenditures were 24.6.
Brett Hoselton: And I apologize George, what I was referring to is 2009, your outlook, you're anticipating positive cash flow and I am just wondering is that a positive operating cash flow or is that net of CapEx in your mind?
George Strickler: That's net of CapEx.
Brett Hoselton: Okay. And then there is you call out restructuring in some of your release here. And I am wondering is that something that you would hope for us to do as we move forward or is it just something that you generally indicated? I mean, historically you have identified it, but you haven't necessarily called it out as a unique or one-time charge.
George Strickler: Well, but I think we called it out in the fourth quarter because we had such significant adjustments for restructuring the goodwill and the valuation allowance. So we laid them all out of separate items so that you had clear visibility what was going on in operations versus the three unusual items and then actually non-recurring items.
Brett Hoselton: Okay. And then I saw a gain on sale of about $0.5 million. Is that the Sarasota facility or is that something else?
George Strickler: No we're still well that was something else, and I'm not sure exactly what that one is. But Sarasota we can see it too work on that one as you know we forecast originally have that completed in '08, but we're still working on that and hopefully we can sell that in 2009.
Brett Hoselton: Okay. And then as you think about your outlook and your assumptions for production and so forth. And can you give us a general sense of what you are thinking in the light vehicle side of the business? What are you thinking about commercial vehicle side of business in North America and Europe may be percentage changes or absolute numbers or something along those lines. What's baked in your thought process?
George Strickler: Well we're looking at the north American light vehicle market somewhere between 10 and 10.5 probably towards the lower end of that range. Certainly the first quarter January sales were 9.8 so on an annualized basis, so it's a very difficult to predict for that segment of the market. On the medium and heavy duty truck we're looking at probably at 10 to 15% decline in the North American markets. And then in Europe it's more like a 30 to 40% decline. I mean I don't think the conditions are fully manifested themselves in Europe yet in terms of future production plans. So we got to watch that very closely.
Brett Hoselton: As you think about your Ag business obviously, doing quite well but John Deere, as you think about that in 2009 your thoughts could that up-down, that sort of thing?
John Corey: I think well overall, we'll expect that business to continue to be up. I think that's what John Deere is forecasting. I mean, I think in some of their businesses they are probably not as optimistic about it, but I think in the Ag business, I think they still remain optimistic on that business.
Brett Hoselton: Okay. And then from a restructuring standpoint, you talked about some additional charges for the first quarter of '09. Is there an expectation that you may do some additional restructuring as you move through 2009 at this point in time or based on what you are currently looking at, are you thinking that, what we're doing with the Juarez facility is going to basically be the last of the restructuring charges?
John Corey: No, I mean and we are going to be either -- I can't say that there will be additional restructuring charges but I won't rule it out. I think as we look at European volumes and we look at what's happening over there, we may have to take additional measures over there. And as we continue to look at what's going on here. Now one of the things that we talked about as we're looking at near term revenue opportunities and in our wiring business there may be -- that's where we can generate some revenue pretty quickly, if the business awards are out there, so we are aggressively pursuing that. But we also continue to downsize our factories to try to get to the right volume of level of expectation. The real dilemma is there comes a point in time where volume might be down for the first quarter or the first half and you might say Well I need to take a major restructuring. Only that say the volumes coming back and then you have to add all that back in. So the key here is to take the restructuring and try to keep it permanently out of the cost base. So when volume comes back up you leverage yourself.
Brett Hoselton: All right. Thank you John, I appreciate it George.
George Strickler: You are welcome.
Operator: And your next question comes from the line of Brian Sponheimer, from Gabelli & Company. You may proceed.
Brian Sponheimer: Hi good morning John and George how are you?
John Corey: Hi Brian.
George Strickler: Hi Brian.
Brian Sponheimer: Just on the restructuring side. I am not sure I picked up on this. How much exactly that was a cash outlay?
George Strickler: The cash outlay, the total expense we incurred was about 15.4 million...
Brian Sponheimer: Right.
George Strickler: In the P&L and the cash was very close to that. It was probably in the range of around 14 million Brian.
Brian Sponheimer: That was just housekeeping. Just moving along outside of Ag you spoke about some other areas that you were seeking some opportunities. I want to ask specifically about military business. You benefited tremendously due to the rise of the MRAP program, and then started carrying off. You see, your success MRAP kind of piggy backing on to the new potential programs at the MATV (ph) and others that are on the horizon?
John Corey: Yeah, we do if our customer wins the award. So it's really depended on that, but we are working hand-in-hand with our partner and supporting them to develop those products and deliver those to the military for evaluation.
Brian Sponheimer: You are expecting that sometime in May?
John Corey: I think, well I think so. I'm not again I am -- we've delivered a couple of -- they've delivered a couple of prototype samples, I think they are delivering them here shortly, and I am not sure how long the evaluation period will be.
Brian Sponheimer: Okay, I just wanted an update on that, thank you guys.
John Corey: You are welcome Brian.
Operator: Your next question comes from the line of David Leiker from Robert W. Baird. You may proceed.
Keith Schicker: Hi it's Keith Schicker
John Corey: Hi Keith.
Keith Schicker: Just a quick question regarding the sort of end market outlook that you detailed John. It looks like in the North American commercial vehicle market you were looking for a 10 to 15% year-over-year decline. We are wondering, what the basis for that assumption is, especially with order rates in recent months tracking much-much worse than that phase on an annualized basis?
John Corey: Well, I think you've got a couple of -- yeah, the order rates have been down but I think you -- eventually, we are going to have to replace the truck fleet and remember we've had three down years now in this market where we haven't seen an up tick in the volumes as projected. So I think that's going to be a big driver. Also you've got the new environmental regulation that has to come in 2010 and that may have -- drive some purchases towards the end of the year, particularly in the last quarter. So that's kind of what our basis is. Now again, conditional on all of this is that the credit markets free up and there is available capital that starts to come back into businesses. I mean without that we are going to continue to see tremendous pressure on this and so that -- what we've assumed that by that there will be that transition will happen. I mean we're certainly -- the government is certainly pumping enough money into the system, and hopefully it gets into the right places and credit becomes available again and businesses start to invest where they see fit. And I think, when you look at things like the international ProStar, that is more fuel efficient vehicle, I think there is opportunity there as people look at how to manage their cost and their maintenance that there may be opportunities, there too that will stimulate some demand.
Keith Schicker: Okay, that's great. Thanks. And if we look at depreciation and amortization in 2009, can you comment either quantitatively or qualitatively where you see that headed?
George Strickler: Keith, I think, it will run in the range of about 23 million for 2009.
Keith Schicker: And that's the D&A or just D?
George Strickler: That's just D and I think the amortization is I think it was running around 300,000 at core ph] so it'd be about a million dollar.
Keith Schicker: Okay. I think when you were talking about the 2009 outlook you said that you thought SG&A could be down I missed this a little bit, SG&A could be down as much as 38 million year-over-year?
George Strickler: Well what we said Keith is that if you go back to '07 to '09, we've reduced our overall cost structure to $38 million between direct labor, fixed and variable overheads and SG&A as a composite. I didn't give a breakdown.
Keith Schicker: Okay.
George Strickler: Each one of those groups and then if you look at the cost incurred in '08 versus the benefit in '09, that swing is almost about $63 million between '08 to '09.
Keith Schicker: Okay. That's great and then if we wanted to try and put some parameters around the size of your military business, that's included in that -- when you break it down by segment, that's included in the commercial vehicle revenue, is that correct?
John Corey: Yeah that's in our electronic segment in the commercial vehicle.
Keith Schicker: And is there anyway that you could frame the size of that business in 2008?
John Corey: No we don't disclose that.
Keith Schicker: Okay, thanks.
George Strickler: Thanks Keith.
Operator: (Operator Instructions) And your next question comes from the line of Gary Mormon from Alpine Associates (ph) you may proceed.
Unidentified Analyst: Hi guys in your cash flow assumption and being cash flow positive for '09 what do you have baked in there for working capital, is that going to be a source or use and can you give me an idea of how much?
George Strickler: It will be a source in, 2009 a lot of it reflects on what happens to the top-line sales.
Unidentified Analyst: Sure.
George Strickler: But we see as the markets coming down that that would be a source for us.
Unidentified Analyst: Can you give me a rough idea of how much?
George Strickler: Yeah, I would view that working capital is probably going to be in the range of somewhere around $20 million improvement for '09.
Unidentified Analyst: Okay. Thank you very much.
George Strickler: You are welcome.
Operator: And we have no questions in queue this concludes the question and answer portion of the call. I will now like to turn it over to Mr. John Corey for closing remarks.
John Corey: Well, thank you. I think that as you all know, it's just a very turbulent and uncertain time and in those times, I mean you've got to be fast and flexible and adaptable and that's exactly what our program is and that's what we have been trying to here. And I think that we've been very proactive in taking the action early, and trying to get through this period and hopefully this period, we're -- our outlook say that it's going to be a difficult 2009. And I think that's probably consistent with a lot of the industry and we will just continue on these initiatives that we've outlined here and looking at how we can position the business to come out stronger when the recovery happens. So with that I would like to thank and again I would like to thank our team, because I think they've done the great job here in this year 2008. And we look forward to them doing the similar job in 2009. So thank you all for joining us.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. And have a wonderful day.